Operator: Welcome to the 2022 First Quarter Financial Results for Socket Mobile. My name is Darrell and I will be your operator for today's call. Before we begin, I'd like to remind everybody this call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended. And Section 21E of the Securities and Exchange Act of 1934 as amended. Such forward-looking statements include but are not limited to statements regarding mobile data collection and mobile data collection products, including details on timing, distribution, and market acceptance of products and statements predicting the trends, sales and market conditions, and opportunities in the markets in which Socket Mobile sells its products.  Such statements involve risks and uncertainties and actual results could differ material from the results anticipated in such forward-looking statements. Because of a number of factors including, but not limited to the risk that manufacture of Socket's products may be delayed or not rolled out as predicted due to technological market or financial factors, including the availability of product components and necessary working capital. The risk that market acceptance and sales opportunities may not happen as anticipated, the risk that Socket's application partners and current distribution channels may choose not to distribute the products, or may not be successful doing so, the risk of that acceptance of Socket's products in vertical application markets may not happen as anticipated, as well as other risks described in Socket's most recent Form 10-K and 10-Q reports filed with the Securities and Exchange Commission.  Socket does not undertake any obligation to update any such forward-looking statements. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. On the call, we have Kevin Mills, Chief Executive Officer, Dave Holmes, Chief Business Officer, and Lynn Zhao, Chief Financial Officer. I will now turn the call over to Kevin Mills. Kevin, you may begin.
Kevin Mills: Thank you, Operator. Good afternoon, everyone, and thank you for joining us today. In Q1, our revenue increased by 31% to $6.3 million over our revenue of $4.8 million in Q1 2021. Our gross margins were 49.7% compared to 52.1% in Q1 2021. Our margins were lower as we paid more for components, and freight costs were much higher due to ongoing global supply issues. Our earnings per share were $0.04 compared to $0.03 in Q1 2021. Our Q1 results demonstrate we are off to a solid start in 2022. Our results were achieved in a very difficult supply environment for which our operations team deserve a great deal of credits.  We expect the supply situation to remain difficult for most of 2022, and we will have to continue to work hard to overcome many challenges and issues so we continue to support our many customers. In addition to our own supply constraints, we are also being impacted by supply issues outside our control, like the availability of printers and cash stores, which are required for mobile point-to-sale deployments. However, we do feel the supply issues are stabilizing and we hope they are less impactful in the second half of the year. In Q1, we made good progress on the building blocks we are putting in place to enable Socket Mobile to better service the growing data capture opportunity we see ahead. As our hardware and software solutions need to be available before they can be incorporated into third-party applications, much of the work we are doing today will strengthen our revenue in 2023 and beyond, and will enable us to continue to grow our business long-term. I'll now hand the call over to Dave Holmes, who will explain the opportunity and activities we see ahead, how we plan to service and support them. Dave.
David Holmes: Thank you, Kevin. And good afternoon, everyone. Today, I'd like to highlight a couple of the key milestones that we achieved in Q1 as we continue our journey of becoming a more comprehensive data capture company. We made significant strides with our Capture SDK software tools. We continue to provide the best-in-class development tools for application partners, and we support all major development environments in the market today. In Q1, we announced Capture SDK for Flutter. Flutter is used by over 2 million developers and has quickly become one of the most popular cross-platform frameworks in the world, with over 40% of all software developers having used it. In Q1, we also launched the SocketCam C820.  This is the first member of our new Socket Cam software product family that turns any mobile device into a high-performance bar code scanner. We think this is a critical piece of the data capture journey. Today, Socket Mobile scanners are primarily used in the performance-sensitive portion of the data capture market, where we have a commanding market share.  That said, our application partners have end users with different data capture needs. They typically only add our Capture SDK to support Socket scanners when their customers run into performance issues. The addition of the C820 will allow our development partners to bring Socket's scanning expertise and capabilities to a much wider audience, allowing our app partners to serve all of their end-users from the price sensitive to the performance sensitive with one integration. One integration with Capture SDK gives our app partners the ability to support all of Socket Mobiles products from the high-end dedicated hardware bar code scanners in NFC readers to free software-based scanning on your mobile device.  Enabling the app for the entire journey allows developers to service a much wider audience, eliminates the burden of lengthy and technical on boarding processes and allows the end customers to select the best data capture tools for their particular situation. We will continue investing in the SocketCam family to offer data capture solutions that benefit our developer community and end-users. We will have an advanced version available on a subscription basis later this year.  We think this is a critical evolution and how Socket Mobile serves the entire data capture journey. Finally, we continue to invest in the digital ID and mobile drivers license space. In Q1 we held a joint webinar with our partner UL, outlining how MDL is poised to enter the retail mobile point-of-sale space in the coming months for things like electronic age verification for restricted goods and the like. We feel this is a big opportunity, and that Socket Mobile is well-positioned to become a significant player in the MDL reader space. Our products already confirmed to the predominant ISO standards being adopted, in most jurisdictions where MDLs are being deployed and tested. This will mark another evolution in our data capture journey. We will go from reading barcodes to capture data about products, to reading barcodes in NFC credentials about people and identities. With that, I will turn it over to Lynn for more details on our financial results, Lynn.
Lynn Zhao: Thanks, Dave. Hi, everyone. I'm pleased to be with you today to share our Q1 results. Year-over-year Q1 revenue was up 31% to 6.3 million compared to 2.84 million in the comparable prior year quarter, driven by a strong demand for our products. The first-quarter gross margin Hyvar, decreased the by 380 basis points compared to Q1 to 2021, and turned to 40 basis points compared to Q4 2021, driven by significant inflation. To recover the margin loss, we will reduce some of the discounts we currently offer and the increasing the sales in our lowest -- the discount channels.  Operating expenses in Q1 were $2.66 million increased to 14% over the prior-year quarter. Spend on engineering increased 13%, mainly driven by hiring as a continued commitment to research under development activities which is essential to provide innovative new product offerings to provide engineering support for key customers and to maintain our existing products. Increases in their sales, marketing, and customer support were 36% which reflected as a cost associated with a higher headcount and consulting in the external professional services.  General and administrative expenses decreased 4% related to a temporary headcount reduction. First quarter operating income was $464,000, representing a 7% operating margin. Our tax rate was 18%. Earnings were $342,000 or $0.04 per fully diluted per share, compared to $0.03 per share for the prior quarter. Adjusted EBITDA in the first quarter was $29 million up 57% from prior quarter of $0.6 million. Topline growth contributed to the period over period EBITDA growth. Turning to our balance sheet. In Q1, changes in operating assets and liabilities resulted in net cash used in operating activities of $1.3 million, which was primarily from increased accounts receivable driven by higher shipment levels and the security deposit for our new office building's lease agreement.  We ended Q1 with a cash balance of $5.4 million. As of March 31, 2022, our inventory level net reserve was at $5.2 million compared to $3.7 million a year ago. The increase in inventory enables us to service our customers at full demand, which -- while navigating this supply constraint. Our balance sheet has further strengthened with a current ratio of 2.8 to 1 as of March 31st, compared to 2.1 to 1 a year ago. Now, let's talk about the share buyback program approved by our Board of Directors. The target is to repurchase 91,000 shares in Q2. As of today, we have repurchased 71,000 shares of our common stock at an average price of $4.15. This wraps up our prepared remarks. Now, I will hand the call over to the Operator for questions. Operator?
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] There will be a delay before the first question is announced. If you are using a speaker phone, you may need to pick up the handset first before pressing the numbers. [Operator Instructions] And I'm standing by for questions. And we have a question from Steve Swanson. Go ahead with your question.
Steve Swanson: First one, can you explain, again, how giving away the -- developing as free C820 product is going to help the company increase revenue and earnings over time? I'm not quite getting that.
Kevin Mills: Sure. Basically, Steve, what we're doing is we see that a lot of our customers only come to us after they have initially put in camera-based scanning and their customers have complained that the camera-based scanning doesn't meet the requirements in many situations. And therefore, they go back to the application provider and request that they upgrade the application to include Socket 's scanners. What we're trying to do is remove that rework cycle by providing software that both allows them to use the camera-based and the scanners.  An application developer can develop one time, and then for customers who are able to use and live with the free camera-based scanning, it's all there for them. If a customer then has a situation that they need a dedicated scanner, there's no rework required, and they just simply go and buy the scanner and the application is already in it.
Steve Swanson: Does this get us more developers using our product or is that the angle?
Kevin Mills: Correct. So today a lot of developers are not very, what we call, the data capture aware. And they believe that the camera-based scanning will more than meets the need. Then, once they launch their products, they find out that the camera-based scanning doesn't work in all situations, and customers then complain to them. And when they get enough complaint, they do something about it, and come back to us and say, "I need to bake in the Socket stuff to really service my higher-ends and more performance sensitive customers. " We're basically eliminating that requirement and saying, "Look, you can do this one installation of software.  It'll support all of your prices to the customers who believe they can get by with camera-based scanning. And when performance-based customers come to you, you will already just say, go buy the scanner. It will work. " We've seen that only 28% of our customers put in the Socket's Capture SDK in revision one of their software. We have to wait until revision two or a higher revision for 72%, and that takes a long time. And basically, with this approach, we think we can get about 90% of developers to include our Capture SDK, the first-time around. And sure, if they never buy a scanner, they never buy a scanner if they don't need us, but we'll be able to service a bigger development community and a bigger end-user community with this approach.
Steve Swanson: Okay. Is it too early days to understand if this is -- if we're getting traction with this?
Kevin Mills: These things take a little bit of time. We currently have the Capture SDK with a built-in scanning and preview. We will basically keep it in preview and work with some of the more advanced -- more aggressive, rather than advanced developers. We will make it generally available I would say in the next 60 days. And then when people start using us, it will take another 90 days before we see if it is working. But there really is no downside for us in this. We've made investments, we've built in the camera-based scanning, and now it's there, but it does create a foundation that we can build on going forward.
Steve Swanson: Okay. That helps me, appreciate that. Second question I had was, what was the total units that we sold during the first quarter of the -- I'm looking back to your history and what we said for the fourth quarter of 2021 was we sold a little over -- a little under 27,000 units. So I was wondering what the run rate was for the first quarter for the barcode scanning units sold.
Kevin Mills: I don't have the --
Lynn Zhao: Steve, we sold 27,700 in --
Steve Swanson: Okay. So we're above flat then from the last quarter. Okay. And then I appreciate you talking about the going forward, Lynn, on the repurchase program, but I was interested just through the end of March 31st, what was the total shares repurchased and what was our average price?
Lynn Zhao: We entered their 10B51 plan during their open window after we released the annual results. And they required a four to five waiting period. So their plans didn't take off into around like two weeks ago, roughly.
Steve Swanson: Okay. So basically, we didn't buy anything in the first quarter then.
Lynn Zhao: That's correct. Yes, we didn't purchase any shares. Yeah.
Steve Swanson: Okay. So then could you repeat what you said about what you're hoping to do in the second quarter, or what you'd -- whatever you said earlier, could you repeat that?
Lynn Zhao: Okay. So what has been approved by our Board of Directors is that we purchased 1.5 -- 1.25% of the prior-quarter's outstanding shares. So the target number of shares to repurchase the first batch would be 91,000 shares. And as of today, we have brought 71,000 shares at an average price of $4.15.
Steve Swanson: Okay. That's helpful. All right. Thanks, guys. Appreciate it.
Kevin Mills: Thank you.
Operator: Our next question comes from Frank Petronas. Go ahead, Frank.
Unidentified Analyst: Hi. I think it's very commendable that you guys have $5.4 million cash balance, but my question is, what's the purpose of yielding up precious money in this day and age buying back your stock for number 1, to increase the [Indiscernible] is this for.
Kevin Mills: Sorry, [Indiscernible].
Unidentified Analyst: And is it for the principles and have you thought of or has your accountant come up with maybe, a preferred, where like a 100 shares per one preferred but to do the same thing and you could save your cash?
Kevin Mills: So the question was very [Indiscernible]. Could you repeat question please, Frank, maybe a little bit louder.
Unidentified Analyst: Okay, I'll do it again. Let me get you off the speaker because I hear through a hearing aid, so I think that's okay. My question was, it's commendable that you have $5.4 million in cash. My question is, why buy the shares in the open market if the purpose is to reduce the float and eventually it would increase the earnings versus the sales. But in the mean time my question is, why buy when cash at this point in time for most company is very important and it's nice to have a good cash balance.  And then there's also like right now I'm familiar with a Gabelli Fund, it's called the Gabelli Equity Trust. It pays and it's been paying since 1985, it's been paying a 10% distribution. They have another fund that pays $0.05 a month and one fund that pays $0.15 every quarter. And what I'm saying is the idle cash could be earning some very important monies, and it's also very liquid, and you can check with the company from that standpoint. From my other observation of buying back stock at this point in time is not -- I don't see the purpose, other than if you can look at maybe a preferred, like one preferred to equal 100 shares, and you can do the same ratio versus what shares you're looking to buy. But my big question was, are they for the insiders, the principles? Is it for your 401K type monies, or what is the ultimate purpose for buying back the shares? That's my only question.
Kevin Mills: Yeah. Okay. So we're buying back the shares for one main reason, is we believe that they're undervalued and that we're generating a lot of cash that we don't necessarily have and maybe need in the business for. And we would like to show our support for our stock as well as basically recruit the number of shares because there's not a lot of interest in the stock. It's pretty simple, right? When we talk to investors, they basically appreciate the fact that we have confidence in our stock and are buying it back. I think we generated close to $1 million in EBITDA, and we'll continue to generate $1 million EBITDA per quarter is the expectation. So we are using our surplus cash to basically invest in ourselves. It's as simple as that.
Unidentified Analyst: Okay. I understand that. But the other -- again, I worked for and with a New York Stock Exchange firm. And my big thing is, if that's your ultimate purpose, it would probably be better to look at a financial PR firm that you can do dog and pony shows. I think you have some very interesting products. And the way I see you're growing, and yes, I also believe your stock is under price.  But it has various dog and pony shows, though. And on every quarter, you can achieve the same purpose because at this point with the market, with the interest rates now as they're going to rise, it's almost a sure thing. What will be let's say correct in my eyes, to use the cash to buy the stock where it just for the purpose of bolstering up to stock. I think and your ratio of of earnings versus your taxes is tremendous. And so let me answer.
Kevin Mills: We have increased the number of financial conferences we did our doing and in Q1 alone, we did. I think four different conferences, maybe even five with Maxim, we did ages with a Singular Research. We did few others. And we did a Dave investor calls except for so we have picked up on the IR side and it's. So but it's a process and we've basically are out there telling our story. And we hope that people would see the value as you see the value. And we can get more recognition for the work we've done, but it's a process. It doesn't happen overnight, but we have picked up the pace of the outreach to investors. And to be honest, our investors do appreciate the fact that we are buying back our shares. So they go hand-in-hand here, frankly. So we keep at it, and we appreciate your input on this.
Unidentified Analyst: Okay. Well, the other point is, there are many, many institutions and funds that cannot buy your kind of stock or your type of company since you are on Nasdaq, which is fine, but you've also qualified for the New York Stock Exchange. And I think with the specialists handling the stock, you could do -- probably accomplish the same thing. So it's just another thought as far as becoming a stock exchange member. Right. Thank you for the time.
Kevin Mills: Take care of yourself, Frank.
Operator: [Operator Instructions] And we have no more questions at this time. I will turn it back to the speakers for our closing comments.
Kevin Mills: Thank you, Operator. In summary, in Q1 2022, we delivered solid results and made significant progress in a very challenging environment. We feel we are continuing to build a solid foundation that will help us grow our revenue and importance over the next few years. I'd like thank everyone for your time and interest in Socket Mobile today, and wish you all a good afternoon. Thank you.
Operator: And thank you. Ladies and gentlemen, this concludes today's conference, thank you for your participation. You may now disconnect.